Liz: Welcome to the Fourth Quarter 2025 ConocoPhillips Earnings Conference Call. My name is Liz, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. During the question and answer session, if you have a question, please press 11 on your touch-tone phone. I will now turn the call over to Guy Baber, Vice President, Investor Relations. Sir, you may begin.
Guy Baber: Thank you, Liz, and welcome everyone to our fourth quarter 2025 earnings conference call. On the call today are several members of the ConocoPhillips leadership team, including Ryan Lance, Chairman and CEO; Andy O'Brien, Chief Financial Officer and Executive Vice President of Strategy and Commercial; Nick Olds, Executive Vice President of Lower 48 and Global HSE; and Kirk Johnson, Executive Vice President of Global Operations and Technical Functions. Ryan and Andy will kick off the call today with opening remarks after which the team will be available for your questions. For the Q&A, we will be taking one question per caller. A few quick reminders. First, along with today's release, we published supplemental financial materials and a slide presentation which you can find on the Investor Relations website. Second, during this call, we will make forward-looking statements based on current expectations. Actual results may differ due to factors noted in today's release, and in our periodic SEC filings. We will make reference to some non-GAAP financial measures, reconciliations to the nearest corresponding GAAP measure, can be found in today's release and on our website. With that, I'll turn the call over to Ryan.
Ryan Lance: Thanks, Guy, and thank you to everyone for joining our fourth quarter 2025 earnings conference call. 2025 was another very strong year for ConocoPhillips, marked by consistent financial and operational execution and a number of important strategic accomplishments for our company. First, we outperformed all our major guidance drivers from the beginning of the year: CapEx, operating costs, and production. Demonstrating the strength of our team's quarter-to-quarter execution. On a pro forma basis, we grew production by 2.5% in 2025, while driving significant reductions to both our capital and costs. On return of capital, we met our objective to return 45% of our CFO to shareholders, consistent with our long-term track record, while again increasing our base dividend at a top quartile S&P 500 growth rate. And we did so while further strengthening our investment-grade balance sheet. Certainly a differentiated accomplishment. Our cash balances are higher today than a year ago, and our net debt is lower, putting us in a very strong financial position to start the year. We successfully integrated Marathon Oil, outperforming our acquisition case on the most important metrics. We added more high-quality, low-cost supply resource, doubled our synergy capture, realized a further $1 billion of one-time benefits, and completely eliminated the Marathon Capital program while still delivering pro forma production growth. And as part of our drive for continuous improvement, we launched and have already made great progress on our incremental $1 billion cost reduction and margin enhancement initiative. We progressed our commercial LNG strategy, growing our offtake portfolio to approximately 10 million tonnes per annum. And finally, we improved our Lower 48 drilling and completion efficiencies and advanced our differentiated major projects, which we expect to drive peer-leading free cash flow growth through the end of the decade. So 2025 was a great year for the company. Yet while these are significant achievements, not stopping there. We will build on this success. Turning to 2026, our primary focus is on delivering a $1 billion combined reduction across our capital spending and operating costs while growing our production on an underlying basis. On shareholder returns, we once again expect to return about 45% of our CFO to shareholders while continuing to grow our base dividend at a top quarterly S&P 500 rate. Top quartile dividend growth is sustainable, as we expect our free cash flow breakeven to decline into the low $30 per barrel WTI range by the end of this decade. Looking beyond 2026, I believe ConocoPhillips continues to offer a compelling value proposition that is differentiated both within our sector and relative to the broader S&P 500. As I've said before, I believe we have the highest quality asset base in our peer space. Distinguishing competitive advantage. Especially in the context of a US Shell industry that continues to mature. We are resource-rich in a world that is looking increasingly resource-scarce. We have the deepest, most capital-efficient Lower 48 inventory in the sector, and outside the Lower 48, we have an abundance of high-quality, low-cost supply legacy assets. And we are uniquely investing in our diverse major projects to transform the free cash flow generation profile of our company. As a reminder, the four major projects we have underway combined with our cost reduction and margin enhancement initiative, are expected to drive a $7 billion free cash flow inflection by 2029 that will double our 2025 free cash flow generation. And that free cash flow inflection is now underway. We anticipate realizing approximately $1 billion of incremental free cash flow each year from 2026 through 2028, with another $4 billion from Willow coming online in 2029. And that's a growth profile that's unmatched in our industry. Now with that, let me turn over the call to Andy to cover the fourth quarter performance and 2026 guidance in more detail.
Andy O'Brien: Thanks, Ryan. Starting with our fourth quarter performance, we reported another quarter of strong execution across the portfolio. We produced 2,320,000 barrels of oil equivalent per day, consistent with the midpoint of our production guidance. We generated $1.02 per share in adjusted earnings and $4.3 billion of CFO. Capital expenditures were $3 billion, which brought our full-year capital spend to $12.6 billion. We returned $2.1 billion to our shareholders during the fourth quarter, including just over $1 billion in buybacks and $1 billion in ordinary dividends, bringing the full-year return of capital to $9 billion or 45% of our CFO, consistent with our guidance and our long-term track record. We closed over $3 billion of asset sales during 2025, demonstrating strong progress against our recently upsized $5 billion divestiture target, with $1.6 billion of proceeds received in the fourth quarter. For the full year, we paid down $900 million of debt and cash balances were up $1 billion, resulting in net debt reductions of nearly $2 billion, highlighting our commitment to both returning cash to shareholders and our investment-grade balance sheet. Cash and short-term investments finished at $7.4 billion, along with $1.1 billion in long-term liquid investments. On reserves, 2025 was another solid year. Our organic reserve replacement ratio was just under 100% while our trailing three years was 106%. Turning now to our guidance for 2026. As Ryan said, we continue to expect a significant reduction in both our capital spend and our operating costs, combining to drive a year-on-year improvement of about $1 billion. 2026 capital spend guidance of about $12 billion is consistent with the preliminary outlook provided last quarter, down about $600 million year-on-year due to significant capital efficiency gains in the Lower 48 and a decline in our major project spending. 2026 operating cost guidance of about $10.2 billion is also consistent with the preliminary outlook, down about $400 million compared to 2025. The improvement in 2026 is driven by a combination of our cost reduction program and a full year of MAF and OL synergies. 2026 production guidance is 2,330,000 to 2,260,000 barrels of oil equivalent per day, providing modest growth for the year. First-quarter production is expected to be in the range of 2,300,000 to 2,340,000 barrels of oil equivalent per day, including the estimated impacts of weather-related downtime from winter storm Fern. In the Lower 48, once again, expect to deliver more production for less capital. As we continue to benefit from the highest quality asset base in the sector. We are a clear leader in inventory depth, with over two decades of low-cost supply inventory across the Permian, Eagle Ford, and Bakken. Also the clear leader when it comes to bottom-line results. Capital efficiency. Amount of oil we recover for every dollar of capital we invest, we have the best rock, in the best part of the best place and our team continues to execute really well. In 2025, we improved our drilling and completion efficiencies by more than 15% expect our capital efficiency improvements to continue in 2026 again driven by strong well productivity, ongoing D and C excellence, and further increases in our longer lateral developments. Now turning to Alaska and international, a few important themes stand out for 2026. First, we continue to progress our advantaged major projects, consistent with the comprehensive update we provided last quarter. Our LNG projects are more than 80% complete with NFE expected to start up in the second half of this year. While Willow is nearing 50% complete, and on track for first oil in early 2029. Second, we remain focused on infrastructure-led exploration and are shifting our focus this year to Alaska, where we have four wells fully permitted and are looking to unlock additional resources near to our infrastructure hubs. Building on our decades of disciplined exploration and appraisal spend in Alaska. And third, we'll continue to leverage our diverse low-cost supply legacy assets for ongoing capital-efficient development, including at Sermont, where we delivered our most recent pad ahead of schedule and on budget, with another pad expected online early next year. To wrap up, 2025 was a very strong year for ConocoPhillips. And we're looking to build on this success in 2026, starting with a $1 billion improvement in our CapEx and costs. As the multiyear free cash flow growth profile we've discussed is now well underway. And we'll continue to find ways to enhance our differentiated investment thesis. Unmatched portfolio quality, including leading lower 40 inventory depth, attractive long-cycle investments, strong returns on and off capital, and a sector-leading free cash flow growth profile through the end of the decade. That concludes our prepared remarks. I'll now turn it over to the operator to start the Q&A.
Liz: Thank you. We will now begin the question and answer session. In the interest of time, we ask that you limit yourself to one question. If you have a question, please press 11 on your touch-tone phone. If you wish to be removed from the queue, please press 11 again. If you're using a speakerphone, you may need to pick up the handset first before pressing the numbers. Once again, if you have a question, please press 11 on your touch-tone. Our first question comes from Neil Mehta from Goldman Sachs. Your line is now open.
Neil Mehta: Yes. Good morning, Ryan, team. Thank you for taking the time. Ryan, you talked about depth of inventory, strong reserve replacement, and you've got some great projects coming on here in the next couple of years. Just your perspective as the industry is now set to accelerate consolidation potentially of whether Conoco is really more of an organic story on the go forward given those characteristics or do you see a role that Conoco is playing in consolidation?
Ryan Lance: Yes. Thanks. Good morning, Neil. Yes, appreciate the question. Look, we've done our heavy lifting on the M&A side over the last four to five years. And I think I've never seen the portfolio in a better shape than really no strategic gaps that we can identify. We're globally diverse. We like our combination of the leading resource position in the Lower 48, combined with what we've got going on around the world. And the LNG projects that were leading into the Willow development and then what Andy talked about in some of our other projects going on around the world. So our pivot has been to the organic side of the portfolio. I can see the rationale for some of the M&A activity in terms of capturing the synergy, but we've been there, done that. We've got that behind us. And our focus is on the organic opportunity set that we have inside the portfolio with which we think is significant. As I said in my opening remarks, I think where we've gotten ourselves to is pretty resource-rich and what we believe is becoming a more constrained world on the resource side. But we like where we're at. We like the portfolio. And we're pretty focused on the organic side of the business.
Liz: Our next question comes from Lloyd Byrne from Jefferies. Your line is now open.
Lloyd Byrne: Hey, Ryan, and team. Thank you for taking the calls. Can you you've been pretty clear in the past, Ryan, about what it would take to go back into Venezuela, and I was just wondering if there's any update there. And if I may, do the recent events impact the Sitco sale at all?
Ryan Lance: Oh, the Venezuelan question right off the top. Lloyd. Yeah. Look. I yeah. I get it. Saying the news. And, look, we're pretty focused on what we've talked about in the past, and that's the you know, focused on the pathway to get some recovery on what's owed us in Venezuela. And that's our first priority right now is making sure they avail us a significant amount of money. We've been after that. So we know where all the assets are, and that's the basis of our focus as well. You know, we're trying to be helpful with the current administration and provide them with our sense of what's happening on the ground. A lot has to happen, you know, obviously, security needs to improve, fiscal's You need a constructive relationship with local governments and the local people you that that actually want you know, US companies there. And then you need durability on the policy side. You need durability both in Venezuela clearly here on The US side, but we're helping the administration kind of think through the short, medium, and long term, but our focus remains on trying to get the recovery that has owed us from the two judgments that we have in place. With respect to Sitco, we see no change at this point. Encouraged by the administration's comments regarding wanting to keep the s wanting to get the asset in American hands or US hands. That's constructive. And, obviously, if there there's still an appeal process to work through in in that judgment from the courts and then an old tech license is required ultimately to satisfy that, that we would stand and collect some of our judgment through that process. But we see no change, no reason to believe it isn't going forward as it's been described to us.
Liz: Our next question comes from Steve Richardson from Evercore ISI. Your line is now open.
Steve Richardson: Thanks. Maybe we can back a little bit from the Venezuela question, Ryan. I was wondering if, you know, you extended the concession in Libya this quarter. And, this seems to be part of a broader trend where there's a lot of opportunities arising internationally for your company and others. And so I was wondering if you could just talk more broadly about how you evaluate those options versus your current portfolio? And is it just a question of kind of risk-adjusted cost of supply? Or there's obviously other opportunity costs. But I wondering if you could just talk about that more broadly and how you're evaluating those opportunities.
Ryan Lance: Yeah. Thanks, Steve. So I draw a little bit of a distinction. I mean, we've been trying to improve fiscal in Libya for nearly a decade. So we finally got to that point with here a couple of weeks ago with signing the agreement with the Libyan government and partner there. But it's something it's an asset inside the portfolio that we're trying to improve every day. And so this is just another organic opportunity inside the portfolio, specifically to Libya. The improvement in the fiscals are just going to make it more competitive as we think about it. We've been investing money in Libya and this just makes those investments even more profitable and more competitive in the portfolio as we go forward. As a result of what we've done. I think more broadly what you're getting at, yes, there are some opportunities and as the world becomes a little bit more resource constrained, there's opportunities in and around. We look at those as well. We had a new one come into the portfolio through the Marathon acquisition of Equatorial Guinea. And so that's one we're focused on as well, trying to figure out how we can grow that L plan on the island and make it a long-term asset for the company. But that kind of fits into that organic side of the business is trying to make that asset better over the long term for the company doing some similar things in Malaysia. But there are new country entries that are happening and we see that with new wildcat exploration maybe around the world from other competitors and in new countries. We look at those and look for opportunities that might benefit the company and be additive to our plans and be consistent within our financial framework. And so this is exactly what you did. It's a risk-adjusted cost of supply of that opportunity and would it compete for capital inside the company and could we slot it in with what we're doing inside the company over the long term, you know, the next ten and twenty years. So the uniqueness about our company is we have that muscle inside the company. We're already a pretty diverse company. We've got a BD organization that looks around the world, not just in the Lower 48, the unconventional space, but also conventionally around the world. But it's gotta compete inside the portfolio just like everything does in the organic side of the business. So I think we're really well positioned to look at that and see what can be additive to the company.
Liz: Our next question comes from Betty Jiang from Barclays. Line is now open.
Betty Jiang: Hello. Good morning. I want to ask about the Alaska exploration program. So we just started this year, the first of a multiyear program. Can you speak to the objective of that exploration program? What's the risk? How big is the scale of the resource being targeted? And if successful, are we talking about extending the plateau for Willow, or is it more upside to the ultimate production capacity of that project?
Ryan Lance: Yeah. Great question, Betty. Good morning. Thanks for that. Yeah. Certainly pleased to report that, we're out in front of this winter season here. We got an early start based on weather under ice road activity. And, of course, we have all of the permits required both for both the wells as well as the seismic that we have planned up there here this year. And even to that end, we were able to spud the first of those four wells just within the last couple of days. So strong progress that we're seeing on those four. But, again, to your question around intent and objectives, here, you know, we're out there exploring to the west of Willow and actually to the south of it. And so as you've certainly heard from us before, our objective is to continue to find what we might describe even though it's onshore as tieback opportunities into both Willow and actually into our WNS Alpine asset as well. So to your point, this is an opportunity for us to identify continued volumes, continued resource plays to bring into the existing infrastructure. And Willow being the next hub, if you will. And when we look back on our performance history there in Alaska, we have and continue to project or expect will produce well over double the volumes through those existing facilities, through that existing infrastructure, you know, over double what we originally premised when we took FID on those. And so naturally then, that's our same objective here for Willow specifically as we explore to the West we'll be looking for those resource opportunities to just keep that infrastructure full. Obviously, a bit early to, you know, to start making a call on, you know, total resource size, etcetera. But naturally, we have some pretty high aspirations and some targets that we're pursuing, and we'll be going after this for several years here now. We've got four wells here premised this year. But we've got a multiyear plan that we intend to carry out again so that we can maximize as we do globally the infrastructure that we have and our ability to bring new volumes into that that creates this advantage cost of supply for us using existing kit.
Liz: Our next question comes from Arun Jayaram from JPMorgan. Your line is now open.
Arun Jayaram: Yeah. Hi, Ryan and team. Gentlemen, trends in well productivity increasing recovery rates have become pretty hot button topics in US shale. I wanted to talk a little bit about ConocoPhillips' lower 48 business. Looking at the data, the inverse data in 2025, you guys had a really good year in terms of productivity in the Bakken, Eagle Ford, and Permian. And I know it starts with good rock, but I was wondering if you could talk about some of the levers you may be pulling from a technology standpoint that may be contributing to the attractive trends in well productivity that we're observing today?
Ryan Lance: Alright, Arun. Good morning. Yes, we surely did have a strong productivity year in 2025 across that entire portfolio, as you mentioned. It definitely consistent with our type curve expectations. And consistent with the high quality of inventory as you mentioned. Of the things we continue to do is we benchmark ourselves in each of our basins, and I'm pleased to say on an oil productivity per foot, we're amongst the best in every basin we operate. Now specifically, I wanna call it a couple, areas that you mentioned. In the Delaware Basin and Eagle Ford, we saw impressive year-on-year improvements. In the Delaware, our oil productivity per foot in 2025 is up about 8% year-on-year. And that's even with a notable increase in our average lateral length of 9% year-on-year. Now a couple of components to dive in on Delaware side. Again, we know the depth and quality of our acreage position out in the Delaware. But the teams are continuously optimizing our development strategies and adjusting spacing and stacking. And then, of course, you could depending on where you're drilling in North Delaware or Southern Delaware, you have a little bit of mix driving that just due to the vast deep broad portfolio. Now pivoting to the Eagle Ford our 2025 oil productivity per foot was up another 7% and that's off a very strong program in 2024. And, we're a clear leader in the Eagle Ford, and we have the lion's share of remaining tier one inventory and have had strong well results of any operator. Now in the Eagle Ford, you know, we brought in the Marathon we've integrated that together. Teams continue to optimize completion designs using diverters to improve recovery. And we're seeing those in the results that you had mentioned. If you look ahead to 2026, we expect consistent strong performance across all of our basins like we've demonstrated over the past several years. And this is a key driver in our ability to deliver low single-digit growth in the Lower 48 alongside a reduction of more than 5% in capital compared to 2025.
Liz: Our next question comes from Doug Leggett from Wolfe Research. Your line is now open.
Doug Leggett: Thanks. Good morning. I think it's good afternoon, everybody, I should say. I apologize. I'm in Europe, so I don't know what the heck time is. Guys, I wanted to go back to Ryan's comment about the breakeven trajectory. Getting to the low thirties by 2030. I'm trying to understand a little bit about what the moving parts are. Where is it today and what is the assumption in where CapEx is from the $12 billion this year in 2030 that gets you to that number, please? Thank you.
Ryan Lance: Morning, Doug or afternoon, Doug or evening, Doug. Depending on where you are in Europe. There might be a lumpy game involved in Thanks. Okay. Yeah. I can step through that one. So, you know, where we are right now sort of our pre-dividend free cash flow breakeven right now is in the mid-40s. And you'd add about $10 to that with the dividend. So that's kind of your starting point. And then as you say, as a reminder, we have our pre-productive capital spend, you know, it's down from where it was in 2025. We still have the preproductive CapEx, you know, between now and Willow coming online, that works off. You know, that if you do the math on what we said on that, that's about $6 basically just on simple pre-productive capital. And then, you know, as we've talked about sort of in our prepared remarks, you kind of got the free cash flow. It's already starting to improve today and it's going to continue to improve and we're effectively going to almost double our pre-productive CapEx, okay, cash flow, sorry, by the time that Willow comes online. And when you put all of that together, that's basically how we take our free cash flow all the way down into the low 30s by the time the Willow is coming online and then you add the dividend back on top of that. So we're going to be down in right in the low 30s when we have Willow then adding another $8 to $10 for the dividend as we remember, we're buying back shares as well. So that sort of reduces dividend burden over time as well. So that's kind of the trajectory we're on and we're pretty excited about it. And I think we think it's part of the story we have here in terms of that free cash flow trajectory we're on, we think is second to none. And it's going to drive sort of a breakeven that comes down, I think, faster than anybody else can come close to matching.
Liz: Our next question comes from Devin McDermott from Morgan Stanley. Your line is now open.
Devin McDermott: Hey. Thanks for taking my question. Ryan, I wanted to come back to one of the international growth assets that you listed in response to a prior question, and that's Equatorial Guinea. I know you've been evaluating potential backfill projects for the LNG facility there, and believe just over the last few days, there was an agreement reached between Equatorial Guinea and Cameroon for the unitization of the Yo Yo Yo Landa fields. I know it was in Conoco operated asset, but it's one of the potential tieback resources into that LNG plant. So kind of a broader question. Since you listed it as a growth potential area, just talk about how seeing the opportunity set there and where we stand on projects to backfill and keep that LNG plant full.
Ryan Lance: I can provide some over comments and then maybe have Kirk come in behind. I think we were encouraged by the Cameroon conversations and then here recently, Chevron's conversations the same. So know, we're working hard to try to make the asset that we acquired from Marathon something more than a five-year asset? How do we make it a ten, fifteen, twenty-year asset? So we've been busy with some HOAs with the Equatorial Guinea country. And doing exactly that. We're encouraged by the opportunities that we see out there. We're encouraged with the cross-border cooperation. Because that just leads to more opportunity to bring more volumes across the island. Maybe Kirk can describe some of the more specifics we're looking at today.
Kirk Johnson: Certainly, Ryan. And Devin, as Ryan's been describing, we've been in discussions certainly haven't taken on this asset through the Marathon acquisition. As we've taken it into the company, we've been actively in contact with a number of other operators in and around our LNG facility and upstream assets. Thinking about how do we leverage that infrastructure, specifically the liquefaction facility that's using our technology there on the island. Certainly, discussions have progressed very well. Really pleased with that. Specifically with Chevron, they've made some notable progress in a few of their projects. A couple of both new fields as well as continued development of some existing fields that create some upside for that. And then naturally, we are, as Ryan said, we're in some HOA discuss confidential discussions with the government and a few others. Around continued infill opportunities, especially gas in and around Moabo and our operation there. So again, this is a continuation here of the theme of what we've been able to do so well in our whether it's internationally in Alaska, which is continue to find resources that exist to create this advantage cost supply to use existing infrastructure. So expect us to continue to make some progress in that way there in EG.
Liz: Our next question comes from Ryan Todd from Piper Sandler. Your line is now open.
Ryan Todd: Thanks. Maybe can you talk about how you think about Lower 48 activity levels and commodity price? As you highlight in your presentation, you clearly have a tremendous amount of high-quality drilling inventory. You've moderated your pace of growth in the lower 48. Of late given, you know, kinda current global crude supply balances and a weaker crude price. But as you look over the next one to two years, like, what would you need to see to step up activity levels? And grow a little faster in the lower 48 and maybe with that, could you maybe elaborate on what you've said a couple of times? It's a pretty constructive maybe crude oil view in the medium to longer term?
Ryan Lance: Yeah. Thanks, Ryan. Yeah. We have our own sort of macro view on supply and demand and I'd say consistent with a lot of what people were saying, we see some saw some softness coming into the year. So we set our plans and our budgets in '26 based on that. Obviously, we've seen a little bit of tailwinds with the current geopolitical things that are going on around the world. But generally, but 2026 would be a little bit more tougher year on the commodity price. We set our plans accordingly. And Nick's team, as he's described, has been doing a doing a great job capturing the efficiencies and we've been able to grow that business without adding more capital to it. And that's kind of our starting place. So I would say our scope is kinda set for 2026 with what we're trying to execute. We don't like to whipsaw these programs up or down and we'll use the balance sheet in the downside case if we need to. And we're comfortable with where we're at in '26 if prices were even to increase, which just give us more flexibility to in the company. We are constructive going forward. Over the next number of years as we think about later later down the road in this decade, we think we're gonna have LNG and Willow coming on at the right time when the world needs this oil. So we're pretty constructive as we go forward. And over time, we'll see what the we'll see what our view of the macro is. We'll see what we think about the cost. And if we if we wanna start ramping up in the lower 48, we can do that. If there's a call on more unconventional crude. But today, I think we're pretty comfortable with our plans. A lot of volatility in the market. We're built for this. We're built to handle it. With the balance sheet that we have and the programs that I know the teams are executing there. Trying to get as much as they can for every precious capital dollar that we're spending. So we're trying to balance our returns of our capital back to our shareholder with the returns we're getting on the capital that we're putting back into the company. So this year, we should see some modest production growth and executing the plans to start delivering the free cash flow inflection that we see over the course of this decade, starting this year with $1 billion and next couple of years with $1 billion and then another $4 billion coming with Willow. And we think that's hugely differential in relative to our competitors in this space.
Liz: Our next question comes from Nitin Kumar from Mizuho. Your line is now open.
Nitin Kumar: Great. Hey, guys. Good afternoon, and thanks for taking my question. Ryan, I'm sorry. I'm gonna take you back a little bit to the direction of Venezuela, but it's not really about Venezuela. The expectation is the Venezuelan heavy crude might back up, so the Canadian production, what's your view of WCS spreads given that you're seeing some of this other heavier crew from other parts of the world hitting the Gulf Coast?
Andy O'Brien: Hi there. This is Andy. I can jump in take that one? Yeah. I think, you know, the short answer is sort of in short and medium term, we're not really expecting to see that much of an impact. As most people know that if you start with sort of the pad two refiners, that's structurally reliant on the Canadian heavy and have minimum alternative options to displace those barrels. And you say, the Gulf Coast refiners can process the heavy barrels and where we're starting to see some of those refiners express interest in purchasing some of those Venezuela barrels. But our view is the incremental Venezuelan barrels will likely get absorbed. The markets will rebalance the global flows. We kind of when you see a thing from month to month where there's maybe crude being backed out or moved in different directions possibly. But take a step back and look at the bigger picture. Way we're thinking about it is that the annual global demand is growing basically million barrels a day. And we're gonna need incremental sources of supply to help meet that demand growth. Our modeling isn't really sort of showing that the Venezuelan crude coming in is going have a particularly material impact Canadian heavy.
Liz: Our next question comes from Scott Hanold RBC Capital Markets. Your line is now open.
Scott Hanold: Yeah. Thanks. Thanks, all. You know, my question is is you know, on your balance sheet. Obviously, you've got a very strong cash position and investments. I think there is some investor kind of concern over there, at least in the short term, you know, your shareholder return strategy at least in, you know, at that 45% rate does dip into it. Could you just give us your context on know, how you think about your cash balance? How much is reserved for know, utilizing it this as as you ramp to that free cash flow inflection point?
Andy O'Brien: Yeah. I could take that one Scott. I think in the prepared remarks, I stepped through sort of just how strong our cash balances are. Starting this year and the fact that we actually reduced our net debt by $2 billion. So we're starting with a balance sheet that is in a really really, really solid position. Know, I think, you know, we look at it across, you know, a range of prices, and I think we've been pretty clear that know, 45% of our CFO basically works across basically a range of prices in terms of our distributions and that's kind of what you could expect. And there's a reason we have a strong balance sheet is that if there were a period where sort of a quarter here and a quarter there, you're needing to drop into the balance sheet to sort of help fund that. That's what we would do. That's what it's there for. I think given where we're starting with cash, I don't really see sort of any real concerns basically around sort of headwinds to being able to fund distributions or maintaining a strong balance sheet.
Liz: Our next question comes from Sam Margolin from Wells Fargo. Your line is now open.
Sam Margolin: Hi. Thanks for taking the question. This question is about the progression of the free cash flow contribution in 'twenty seven and 'twenty eight. Before Willow. And, you know, in the context of NFE, coming on in the visible horizon here, if could we ask you to decompose that progression a little bit and maybe at least frame where the range of LNG contribution, both on both on the cash flow side and on the on the spending roll off are coming in. And then, you know, the I guess, the market context is that European gas inventories are pretty low and you have some you know, European regas exposure that looks like it'll be full you know, over the next season. So, if we could get some color on that, it would be great. Thanks.
Andy O'Brien: Okay. Yeah. Kind of a touching a touching a few different topics there. We'll try and I'll try and sort of try and try and cover them. You know, the first part of it is we've been very clear that sort of basically, we're seeing a billion dollars per year, $26.27, 28 of free cash flow improvement. And think you're starting to allude to this that '26 basically is essentially being driven by the OpEx and CapEx guidance that we've given driving that. But as we get into 'twenty seven and 'twenty eight, a significant part of that is being driven by the LNG where we have NFE coming on, Port Arthur coming on. And NFS coming on. So, we're seeing that basically drive next $2 billion after the one we have now, then the next two comes from those LNG projects. And remember, it's a combination of the revenues coming on, but the CapEx going away as well. So that's $2 billion a big chunk of that is coming in '27 and '28 from the LNG projects. Know, we've but when we've given those sensitivity on the $7 billion of free cash flow inflection, we've put prices out there basically for that. And I think where we basically placed the first 5,000,000 tons that we have out of Port Arthur Phase one into Europe and Asia. We feel pretty good about that. And you know, our view, I think, is that you know, we're pretty confident basically around sort of, you know, LNG prices basically holding up over the rest of this decade. So it's kind of that's what's built into our sensitivities and know, we're also in a situation where between now and 2030 where we're actually much longer Henry Hub natural gas than we are LNG. So if you think about it in next area in the Lower 48, we produce two BCF a day of gas. That's about 15 MTPA. And for every dollar we see move on the price on Henry Hub, over $400 million of sensitivity to us. Whereas the first 5,000,000 tons that we have coming out of what are up between now and the 2030 timeframe. Every dollar movement on that is about a $200 million movement. That we have. So we're actually much more exposed to higher gas prices than we are compressing LNG margins in the between now and the end of the decade. I think I touched on most of what you're asking there.
Liz: Our next question comes from Phillip Youngworth from BMO Capital Markets.
Phillip Youngworth: Yeah, thanks for taking the question. You reached an agreement with Western Gas during the quarter to restructure Delaware gas contracts. Question is more around, you have over 200,000 net acres in the core that you picked up from Shell. A couple of years ago. Maybe it's a little less optimal in terms of operatorship, working interest, or acreage configuration, but within the midstream getting more ironed out, does this at all advance the ability to do a larger acreage swap here? And if so, how meaningful could that be for Conoco's capital efficiency in developing this asset going forward?
Kirk Johnson: Yeah. Exactly. If I go back back to Shell, I mean, of the key things as as you look at in that area we continue to core up in strategic trades all the time. To increase our lateral length in that area. That drives our capital efficiency as we extend the laterals in there. And we continue to do that on an ongoing basis. As you mentioned for the Western midstream, we did directly contract that through WES, and that's one of the key drivers that Andy had mentioned that achieves that billion dollars of cost savings run rate by year-end 2026. But on the strategic trades, we continue to do that on an ongoing basis. And if you look at long lateral inventory in that area you mentioned, if I step back to 2023, about 60% of our Permian future well inventory was two miles or greater. But, today, that's at 80% due to the strategic, trays and core ups. And in fact, you look at the 2026 program, 90% of those wells are two miles or greater. So we continue to do that with our BD and land teams. Coring it up, and that drives the capital efficiency. When you look at that core up, opportunities, if we go from a one mile to a two mile lateral, we improve the cost supply about 25%. But if we go to three or four miles, we add another 10 to 15% cost supply reduction.
Liz: Our next question comes from James West from Melius Research. Your line is now open.
James West: Hey. Good afternoon, guys. One thing that came up that I noticed in the slide deck this morning that stood out to me was your reserve replacement ratio. It's been very impressive over the last three years. Well above your peer group and the big oils. Curious what's been driving that and curious how you see that going forward.
Andy O'Brien: Hi, this is Andy. I'll take the question. Actually thank you for the question. To ask about reserves, we think reserves remains an important and very relevant metric. Especially the organic reserve replacement. As you know, that's basically essentially what we're replacing with the drill bit. As you said, you know, I'll one year performance is important. We do also focus on our multiyear track record, especially you think about some of the longer cycle projects. So just quickly step through the numbers, our three-year organic reserve replacement is 106%. And our five-year organic reserve replacement is a 133%. And what particularly pleasing about that is across that timeframe, we've got strong contributions across our entire global portfolio 48, Alaskan International is another example Ryan was pointing to earlier, the power of our diversified portfolio. And '25 was no different. It was another solid year of organic reserve replacement. So we effectively maintained the reserves. Technically 99% that if you then take that and basically you would exclude the impacts of revisions there to the lower oil prices, the organic reserve ratio when you're not taking price provisions into account, we've been 110%. So again, it was a really good year for us. And, you know, I think what you alluded to, we think our track record, we put it up against anybody, you know, terms of the majors or the EMPs over the short, the medium, and the long time frame. And, you know, just in terms of we think about it, we really do think reserves continue to be an important barometer for our industry. And no matter how you slice it, it continues to be another proof point just on the quality of our portfolio. And was it was a it was a really good year for us again where we, you know, we had additions, you know, yes, from the lower 48, but we had additions coming from Coyote up in Alaska. Great performance out of Australian business unit where we could increase some reserves there. Then just some of the commercial negotiations we do across Asia and how to add some reserves there as well. So know, important important for us reserves to keep a really close eye on it, and I think it's it's a good litmus test of sort of how well how well basically we're doing, and we couldn't be happy with it.
Ryan Lance: And I would add just one thing, James, as well. I mean, people ask us when we talk about our sub $40 resource sub sub $40 cost by resource that we have inside the company and is it real or, you know, how real is it? I think this is the proof point is we're converting those resources into reserves. You ought to feel comfortable, and we've been doing this over the long haul, both in our history and we given Andy's comments, that's what we expect to happen going forward because of that resource that we've got captured inside the company and our focus on the organic investments in the company to turn that resource into reserves.
Liz: Our next question comes from Paul Cheng from Scotiabank. Your line is now open.
Paul Cheng: Hey, guys. Good afternoon or good morning. Ryan, just curious. You still have another runway in the Lower 48, but I think no matter how we look at it, Shell Oil is getting mature. And as that happened, how over the next five years your capital allocation is going to shift or that is going to make any changes, to position the company post 2030. I mean, we clearly that you you have a very, I think, visible path for the next five years. But post 2030, that with that, major asset is going to be maturing. How you're going to position given you are a very large company? So to turn a big ship going to take times. Thank you.
Ryan Lance: Yeah. Thanks, Paul. Look, we our view inside the Lower 48 just in particular is over two decades. Of low cost of supply inventory. So gonna be in this business for twenty plus years. It's not going to roll over in five years in our portfolio. But I take your point, I think broadly in the industry where if these kinds of prices seeing sort of plateaus production in the shale, North American or US shale, but that is not the case inside our company. So we will see sort of major project capital spend, the preproductive capital that Andy talked about, that will start to roll off through the end of this decade. We continue to we'll see growth in our unconventional investments as we continue to capture efficiencies and look at that business. But we've got multiple decades of growth opportunity there. And then Kirk talked about the rest of the business. We see opportunities in Alaska, we see them in Canada. See them in we talked about at Quintura, Guinea, the signing of the new agreement in Libya. So I think we're just in a completely different place than a lot of our competitors, and we've got a lot of optionality for investment in the portfolio to continue sort of modest growth depending on what the commodity price environment ends up being. And again, we're pretty constructive long term as we see demand growth continuing to grow. So that's going to give us the opportunity to continue to invest organically in the portfolio across a broad set of assets. That have already captured to develop that resource potential that we have. It doesn't stop by the next decade in the lower forty eight. It continues for quite a period of time. So I think all the data yeah, third party data supports that. We're just not talking our book here.
Liz: Our next question comes from Charles Meade from Johnson Rice. Your line is now open.
Charles Meade: Yes. Hello to the whole, whole Conoco team there. And can you If I could, I'd like to go back to Alaska. Give us an update on on how this season's costs at Willow are tracking versus the updated assumptions you guys gave us last quarter. And, and perhaps fitting in that or or maybe tacking onto that. If how the the loss of this rig 26 whether it's gonna affect you affect you either on your development or exploration side?
Kirk Johnson: Yeah. Hi, Charles. Thanks for the question. We certainly had a number of inbounds especially on the latter part of your question question around the rig incident. So I might start there, and then, of course, I'll address your question on Willow. Certainly, unfortunate event there with that rig, D26. Of course, nationally top of mind for us, we're the folks that the individuals that were around the rig and the few that were that were piloting that rig. Fortunately, no injuries. And, of course, the owner, the operator of that rig are ultimately accountable, and they are leading both the investigation and the response. We're naturally in support of that company. And working with them as they coordinate, and manage in and around that. That rig was one of two rigs that we had planned for the exploration program. Here this year. We roughly assigned two wells for each one of those rigs. And, of course, we have multiple rigs up there running, and so we were able to just simply backfill that D26 rig with one of the active rigs that we have operating within our existing units. And so the exploration program continues, and we'll be able to pivot those rigs back after the exploration season into our ongoing development. So no change to either exploration. And to your point around Willow, we have two rigs premised for the predrill on Willow leading up to start up in early 2029, and D 26 was one of those rigs. Now again, because we have multiple rigs deploying, no impact. And again, predrill starts for Willow next year in 2027. So, ultimately, what you're hearing from me is after that unfortunate event, no impact on our exploration and no impact on Willow. On Willow, you know, you heard certainly earlier in my comments that we were able to get out early due to, you know, an early start to the winter season and some cold weather with ice. But the same goes for Willow. And so that that's winter construction season for us started early. It's on track. And proceeding really quite well. When we think about the work scope that we have planned here for this year, really revolves around some of the earlier points you've heard from me. We're trying to knock out the bulk of the gravel work here this year. Roads, pads, the airstrip so that we have full year-round access into Willow. In a more efficient way than we have in the past. We'll be continuing pipeline work bridges, etcetera. And then, of course, all the work here out of the state on prefab of the process modules continues, and we're seeing some strong progress from our business partners on that front as well. And then, you know, back to your point, yes, we're seeing costs come in as we as we guided. We're seeing that cascades down largely because last year's winter construction season was our largest. And then we've, you know, we've been able to knock out some pretty important milestones up there on the North Slope. Our permanent camp there in Willow is open. That's pivotal because it allows us to start, you know, moving away from and turning away a lot of these temporary camps that we've had to rely on. And so this part of the story about our ability to wind capital down from previous levels in the last few years. So we'll be coming in on pretty major milestone here within the next couple of months of being 50% complete on the project. And so, naturally, both cost and schedule are looking good for us for an early 2029 first oil.
Liz: Our last question will come from Kevin McCurdy from Pickering Energy Partners. Your line is now open.
Kevin McCurdy: Hey. Good afternoon. Thanks for fitting me in. I wanted to ask about Canada. You highlighted that the 104 WA Surmont pad was ahead of schedule. I wonder if you could talk about the financial and operational impacts and the timing of that pad. Was CapEx and production brought forward? And do you think this could be like an ongoing trend for your operations there? Thanks.
Kirk Johnson: Yeah. Appreciate the question on Canada. It's a place, the Surmont asset specifically is one where we just continue to see really strong performance. And ultimately, we have positioned ourselves for first oil, you know, first steam at the late last year and then first oil early this year. That came in about a month early. And that was on pad 104 WA. And so, ultimately, that activity is cascading through. It's in essence rolling through as we have started work on the next pad, 104 WB. And as you've heard from me in the past, we're expecting to bring on a new pad roughly every twelve to eighteen months. And we are expecting this next pad to come on in about twelve months from now for a first steam and first oil. And so that activity is really quite level loaded certainly as you can imagine with that kind of pace. So we're not seeing necessarily a material change in certainly how we think about capital or even our production profile other than it derisks certainly the growth that we've started see. And when we think about, you know, I talk about growth in Surmont, it's really quite moderate and disciplined. With this pace of capital deployment. So, again, you know, we took a bit of a cut last year with having reached payout on the full surmount project last year. Net royalties changed on us. And yet when I back up a little bit and I think about the health of the asset and how it's performing, gross volumes continue to be climbing and to be up. So the performance of these pads is offsetting decline. And again just really pleased with how the overall asset is performing and how our capital and production is coming in on trend.
Liz: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.